Operator: Good afternoon. My name is Cameron, and I will be your conference operator today. At this time, I would like to welcome everyone to Paycom's Fourth Quarter and Full Year 2024 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now turn the call over to James Samford, Head of Investor Relations. You may begin.
James Samford: Thank you, and welcome to Paycom's earnings conference call for the fourth quarter and full year 2024. Certain statements made on this call that are not historical facts, including those related to our future plans, objectives, and expected performance are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements represent our outlook only as of the date of this conference call. While we believe any forward-looking statements made on this call are reasonable, actual results may differ materially because the statements are based on our current expectations and subject to risks and uncertainties. These risks and uncertainties are discussed in our filings with the SEC, including our most recent annual report on Form 10-K. You should refer to and consider these factors when relying on such forward-looking information. Any forward-looking statement made speaks only as of the date on which it is made, and we do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements, whether as a result of new information, future events, or otherwise, except as required by applicable law. Also during today's call, we will refer to certain non-GAAP financial measures, including adjusted EBITDA, non-GAAP net income, free cash flow, and certain adjusted expenses. We use these non-GAAP financial measures to review and assess our performance and for planning purposes. A reconciliation schedule showing GAAP versus non-GAAP results is included in the press release that we issued after the close of the market today and is available on our website at investors.paycom.com. I will now turn the call over to Chad Richardson, Paycom's CEO and President. Chad?
Chad Richison: Thanks, James, and thank you to everyone joining our call today. We ended 2024 with strong momentum, thanks to focused execution, organic sales growth and operational efficiency gains. Before diving in, I want to welcome our next CFO, Bob Foster. Bob joined Paycom over two years ago after working within the industry as the CEO and Chairman of a payroll company for eight years. Prior to that, he served as a Senior Partner in Ernst Young, managing several of the firm's largest accounts. He brings industry experience, process expertise and a strong financial pedigree to lead our financial team. He will assume the role of CFO effective February 21 when my longtime friend and colleague, Craig Boelte officially retires. After my opening remarks, Craig will review our fourth quarter and full-year results and Bob will provide comments on our full-year guidance. We will then take your questions. With that, let's get started. Our performance strengthened throughout the year as we diligently executed our 2024 plan. We expect to fuel our momentum in 2025 by maintaining our focus on full solution automation, client ROI achievement, and delivering world-class service. 20 years ago, when we sold our software, user buyers bought the product because they wanted to do more with this software. And today, they want the software to do more for them. We already have the most automated solution in the industry and we are rapidly moving toward full solution automation, driving even more ROI for our clients. Simply put, our software vision is that people shouldn't do tasks that systems can safely automate. On the payroll side, Beti continues to eliminate non-revenue-generating tasks, which allow clients to shift resources to more profitable activities. Beti is a highly differentiated automated solution that delivers strong client ROI. Having employees do their own payroll is the most effective way to do payroll, and we are seeing this validated daily. Take, for example, a client of ours in the professional sports industry. Prior to Beti, this 500-employee organization worked through payroll issues for days leading up to their submission deadline. They ran separate reports and supervisors chased down employees to fix time and attendance issues. With Beti, their employees ensure their check is correct, which is significantly increased employee trust and the client has automated 85% of the time and effort previously wasted on payroll. We onboarded a 2,000 employee retail client that operates in multiple states. This client raved about their seamless transition process and they confirmed they have also reduced their payroll processing time by nearly 85%. In addition to their payroll savings, their HR team saved an additional month annually of unproductive time through automations outside of the payroll process. Clients continue to see strong ROI from our automated time and labor management solutions. For many clients, unproductive time represents roughly 10% of labor costs. With GONE, clients can eliminate unnecessary interaction points by providing a consistent and fully automated experience for employees, managers, HR administrators and the business as a whole. A recent Forrester study found that GONE can generate an ROI of up to 800%. Through the automation of time-off decisions, managers saved nearly a week of unproductive hours annually. And on average, companies save nearly five weeks of unproductive time in the areas of HR, finance and accounting every year. We were pleased that GONE received The Business Intelligent Group's Innovation Award, which is awarded to the organizations changing how employees experience the work world. Internally, we are experiencing increased efficiencies through product automation. Paycom's AI agent, which was rolled out to our service team six months ago, utilizes our own knowledge-based semantic search model to provide faster responses and help our clients more quickly and consistently than ever before. As responses continuously improve over time, our client interactions become more valuable and we connect them faster to the right solution. As a result, we are seeing improved immediate response rates and have eliminated service tickets by over 25% compared to a year ago. We remain committed to having a high-touch service model, which means we'll always have a single point of contact for our clients to provide them personal service. But with automations like AI agent, we are realizing internal efficiencies, driving increasing client satisfaction and seeing higher net promoter scores. Through our internal automation efforts, we are identifying opportunities to automate even more processes that currently require a necessarily human interaction. And this is having a positive impact on our service initiatives and margins. Thanks to these efforts, we ended the year with roughly the same headcount as last year, while continuing to attract talent in the key areas of service, sales and R&D. Demand for the most automated solution in our industry provided by Paycom is stronger than ever and sales is having record success as more businesses experience the benefits of solution automation. With greater success amongst our sales organization, we have more individuals ready to be leaders. And with a deep bench of sales leaders, we opened three new sales offices in January. These are located in Raleigh, North Carolina, Los Angeles, California and Providence, Rhode Island, which brings our total outside sales teams to 57. Our culture was highlighted by comparably in Q4 as Paycom was the top company for compensation and best company culture. Additionally, Newsweek recognized us as one of America's greatest workplaces for diversity. With the most automated product, consistent retention and kicking off the year with record sales growth, we are set up to perform well in 2025 and beyond. With that, let me turn it over to Craig.
Craig Boelte: Thanks, Chad. Before I review our fourth-quarter and full-year results for 2024, I would like to remind everyone that my comments related to certain financial measures will be on a non-GAAP basis. Also, in our income statement, we have broken out total revenue into recurring and other revenue and interest on funds held for clients. In our earnings press release today, we provided 2024 quarterly revenue amounts to conform to this presentation. This change has no impact on total revenue or any other line item in our income statement. We ended the year with solid results with full-year 2024 revenue of $1.88 billion, representing 11% organic growth compared to 2023. Full-year recurring and other revenue was $1.76 billion, also up 11% compared to 2023 and interest on funds held for clients of $125 million was up approximately 16% year-over-year. Fourth quarter results were better-than-expected with total revenue of $494 million, representing growth of approximately 14% over the comparable prior year period. Recurring and other revenue in the fourth quarter was $465 million, up 14.5% compared to 2023. We generated $29 million of interest on funds held for clients, up approximately 2% year-over-year on an average daily balance of approximately $2.5 billion. Our strong top-line results and recent operating efficiency gains translated into even stronger bottom-line results. Full-year GAAP net income was $502 million or $8.92 per diluted share based on approximately 56 million shares. Non-GAAP net income for 2024 was $462 million or $8.21 per diluted share. In the fourth quarter, GAAP net income of $114 million and non-GAAP net income of $130 million represented $2.02 and $2.32 per diluted share, respectively, based on approximately 56 million shares. Full-year adjusted EBITDA was $775 million, representing full year margin of 41.2%. Fourth-quarter adjusted EBITDA was $215 million, representing a quarterly margin of 43.5%, up 290 basis points year-over-year. We continue to invest in automation across our software. Adjusted R&D expense was $61 million in the fourth quarter of 2024 or 12% of total revenues. Adjusted total R&D costs, including the capitalized portion were $89 million in the fourth quarter of 2024 compared to $73 million in the prior year period. Our tax rate for 2024 was 23% on a GAAP basis. For the full year 2025, we anticipate our effective income tax rate to be approximately 29% on a GAAP basis and approximately 27% on a non-GAAP basis. In fiscal year 2025, we expect stock-based compensation expense as a percent of revenue to be approximately 8%. Cash flow from operations in 2024 was $534 million, representing 28% margin. Total CapEx of $197 million in 2024 represented approximately 10% of total revenues compared to approximately 12% of total revenues in 2023. We estimate total CapEx as a percent of revenues to be below 10% in 2025. Free cash flow defined as operating cash flow less CapEx was $337 million in 2024, up 17% year-over-year. Free cash flow margin expanded 90 basis points year-over-year to approximately 18%. In 2024, we repurchased over 900,000 shares of common stock, or approximately 2% of our shares outstanding for a total of $145 million and we paid over $84 million in cash dividends. Since the beginning of 2023, we repurchased over 2.4 million shares, or approximately 4% of shares outstanding for approximately $445 million. We still have approximately $1.48 billion remaining under our buyback authorization as of December 31, 2024, and the Board has approved our next quarterly dividend of $0.375 per share payable in mid-March. Turning to the balance sheet. Even after returning capital to shareholders through buybacks and dividends paid in 2024, we ended the year with a very strong balance sheet, including cash-and-cash equivalents of $402 million and zero debt. We ended 2024 with approximately 37,500 clients, representing a growth rate of 2% compared to 2023. On a parent-company grouping basis, we ended the year with approximately 19,400 clients, and of those, clients with greater than 1,000 employees were up 12% year-over-year. Total employee record stored in our system in 2024 was $7 million, up 3% year-over-year. Paycom's annual revenue retention rate in 2024 was 90%, which was consistent with 2023. 2024 was a solid year of execution with strengthening fundamentals as the year progressed. I want to thank our employees for all the hard work that is paying off. With that, I'll turn the call over to Bob for guidance. Bob?
Bob Foster: Thanks, Craig, and thank you, Chad, for the opportunity to take the financial reigns of such an innovative and profitable company. For the near term, the plan is to continue to fuel the momentum we have been building in 2024 in the areas of R&D, sales, and investing in automation to benefit our clients as well as us internally. Our approach to guidance remains consistent as we guide to what we can see today and factor in relevant trends, opportunities, and potential constraints. With the goal of aligning our guidance with our long-term focus and consistent with how we run our business, we are transitioning to an annual revenue and adjusted EBITDA guidance framework. For fiscal 2025, we expect total revenue to be between $2.015 billion to $2.035 billion, or approximately 8% year-over-year at the midpoint of the range. We expect full year recurring and other revenue to be up approximately 9% year-over-year. We expect full year adjusted EBITDA in the range of $820 million to $840 million, representing an adjusted EBITDA margin of 41% at the midpoint of the range. This represents one of our highest initial margin guides. Included in total revenue outlook is interest on funds held for clients of approximately $110 million, down 12% year-over-year. Looking at the shape of the year, we expect first quarter growth to be the low point of the year. We expect recurring and other revenue growth to accelerate to consistent double digits every quarter thereafter as we benefit from record sales and consistent retention trends. We have positive momentum and are positioned well in 2025. We have an organic growth model that produces high-quality revenue and profit. We also have the talent and the product vision to build on our success. Before taking your questions, I want to thank Craig for what he has meant to Paycom, our clients, and our employees over the last 20 years. From all of us, Craig, thank you. With that, let's open the line for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Raimo Lenschow with Barclays. You may proceed.
Raimo Lenschow: Hey, perfect. Congrats on a great Q4. And Bob, all the best in your journey with Paycom as a CFO. Two quick questions. Bob, first on guidance and guidance philosophy, what drove the decision to kind of not do quarterly anymore? I mean, it does feel like Paycom is a very predictable business, so that's a little bit surprising there. Maybe talk a little bit about your thinking. And then, Chad, can you talk a little bit about the renewal rates? You mentioned they were stable on last year, and but in the past, we've seen larger numbers and like the whole Beti uncertainty kind of obviously created headwinds. And so I'm thinking like is this level like the new level or are your ambitions to bring it back to the levels we've seen in the years prior to what we've seen before? And many thanks, and congrats on a good Q4 again.
Bob Foster: Yes, Raimo, thanks for the question. As you know, we run our business with a long-term focus and we invest in things that will help our clients and Paycom along the way and this aligns with how we run our business. And when you look at our guide, it's a very strong guide accelerating through the year with high EBITDA margins and we feel this better aligns with just how we run our business.
Chad Richison: I'll take the renewals. We did see stability last year being that it was the exact same number that it was from a year previously. I will say, I mean, we had strengthening in that number as we move throughout the year -- as we move throughout the year, and we expect that to continue into this year. And yes, I mean, I would hope for stronger retention as we move throughout the year as I would every year. But I will say it was consistent last year with the year before.
Raimo Lenschow: Okay, perfect. Thank you.
Operator: The next question is from the line of Samad Samana with Jefferies. You may proceed.
Mason Marion: Hi, this is Mason Marion on for Samad. Thanks for taking our questions. I want to dig into guidance here a little bit. Can you provide some commentary on the building blocks you're embedding within that 9% recurring and other guide? What are you expecting from a macro standpoint? And then any commentary around like pay per control, price realization or retention? Anything there would be helpful.
Chad Richison: Yes. I mean, the 9% are recurring and other, and so that would be revenue ex- interest, right. And so we've now broken out what our interest is. And so that would be us onboarding new business clients at higher rates as we've continued to do higher revenue rates and that will impact us as we move throughout the year. So no new components, or assumptions go into that calculation for us.
Craig Boelte: Yes. And I would say kind of consistent with how we've always done guidance. I mean, we don't count on the macro either positive or negatively impacting us during the year.
Mason Marion: Okay. That is helpful. And then it seems like the CRR team improved performance throughout the back half of 2024. What are your expectations for this team as we move into 2025 in the context of your guidance?
Chad Richison: We're all focused on client satisfaction. We're focused on making sure clients are getting the ROI and the service that can be delivered to them. So that's what our entire organization is doing. CRRs help with that definitely. And we enabled definitely, they are upselling clients products that they need. And so it's a group effort across the board. I'm very happy with what our group did this year. Again, we saw continued strength into the back half of the year. That's continuing as we start off the year now. And so for us, it's just focusing on doing the right things for the right reasons.
Operator: The next question comes from the line of Mark Marcon with Baird. You may proceed.
Mark Marcon: Hey, good afternoon, and thanks for taking my questions. Craig, it's been a pleasure working with you. Congratulations on a great career and Bob look forward to working with you. With regards to the revenue performance that you ended up having throughout the year. Could you compare and contrast that relative to the total client growth because the client growth was a little bit on the slower -- on the lower side? Obviously, you've been moving towards bigger clients. But I'm wondering if you can fill in some of the gaps because it also looks like you're probably selling more modules. Wondering what's going on with pricing and how does -- how does the module build factor into next year. So that's the first question. And then the second question has to do with the margin improvement was really nice to see, particularly in terms of gross margins. How are you thinking about the balance between gross margin improvement versus sales and marketing, R&D, and G&A as part of your guide?
Chad Richison: Yes. I mean, sales and marketing done well all year. We did call out some of our largest month sales ever actually this January, the month we just finished was our largest sales month, I mean, blew out any previous sales month. None of those deals have started. Throughout the year, I did talk about increasing new unit growth for new business sales, which we had. And -- but also I would say we haven't been selling as many maybe small businesses as we did. We ramped up that group during COVID. It's a smaller group now. So we might be losing 40 pennies out of our pocket, but we replaced it with $2 bills. So there's a little bit of that going on in client mix. I know Craig did mention on the call that clients above 1,000 employees grew. That market grew 12%. So there's a little bit of that of where our focus is. We do have the most automated solution. We're having a lot of success with that out in the field. Our sales reps are having a lot of success. That's why we've opened up three new offices. And so, I would say that we've had a very strong growth year and you're going to see that continue as we move into next year. And I'll let Craig and Bob talk about the margins.
Craig Boelte: I would say on the margin side, I mean, some of the things that impacted the gross margin kind of the back-half of this year was that new building that came online. We had no additional depreciation on that as well as the cost of opening that new building. And eventually, we'll grow into that and that will start to improve on those margins. And then kind of throughout, we mentioned we're continuing to invest in R&D and then those other line items, we continue to look for efficiencies throughout.
Operator: The next question comes from the line of Kevin McVeigh with UBS. You may proceed.
Kevin McVeigh: Great. Thank you so much. And let me add my congratulations, Craig. It's been great working with you. In terms of the new office openings, is there any way to think about how those should scale over the course of 2025 into 2026? I know, Chad, you have a pretty deliberate approach in terms of staffing and then as they scale, just anything to help us dimensionalize how they should kind of scale and maybe what's factored into the guidance?
Chad Richison: Yes, it takes 24 months for those offices to be fully staffed with the backlog pipeline. So those offices will carry a full team flow at the beginning first quarter 2027. This year, they will contribute to revenue in a smaller capacity because they're just now selling. And so those deals have to start. But as we move throughout 2026 and beyond, obviously, they'll have a more meaningful impact on that.
Kevin McVeigh: Great. And then just it sounds like, Chad, the retention improved over the course of the year. Was that kind of just the runoff of anything Beti related or the mix effect of larger clients? And any way to think about like what retention levels embedded in the 2025 guidance?
Chad Richison: Yes. I mean, Beti improves retention. And so I would say that the more usage that our clients get out of our system to where they're getting the full ROI out of it, that helps us. And it's not just Beti. And a differentiated strategy also allows us to win clients back a lot faster. I mean, we've got clients that leave one payroll, they're right back with us. And so that helps as well. But I would say it's all of the technology that we're bringing into the market right now through automation, Beti obviously being a big part of that, that's really helping us win deals.
Operator: The next question comes from the line of Steve Enders with Citi. You may proceed.
Steve Enders: Okay. Treat. Thanks for taking the questions here. I guess maybe just to start, just want to get a better sense for maybe what drove the upside here in Q4, what drove the revenue strength? And I guess maybe how should we think about the puts and takes between the strength here versus what might impact Q1?
Chad Richison: Yes, I would say Q4 -- as we go into Q4, it's usually the hardest to really predict in terms of unscheduled runs and things like that. And I would say those came in as strong. And so overall, there was strength in the quarter as well as gets starts in Q4 as it relates to new clients coming on board.
Steve Enders: Okay. Thanks. And then on the bookings strength that you've been seeing lately, I know there's been a lot of changes in the go-to-market over the past year or year-plus. I guess, what do you feel like is working right now? What's resonating? And then I guess maybe where do you feel like there still are some areas where you can see improvements or some incremental things that you can improve upon?
Chad Richison: Yes. And so, I would say what's working is the fact that we have the most automated product in the industry and people want to do less these days. Like I said before, 20 years ago, I sold a product as people wanted to do more with it. Today, you sell the product because they wanted to do things for them. And it's automated. And so -- that's where we're having our most strength going out there talking about those things and obviously delivering the ROI that's available to our clients. And so -- and we have our entire company focused on client satisfaction. That's pretty important. Our clients are the reasons why we're here. And so we're all focused on that as well. It's hard for me as I look at 2024 to see any area where we weren't successful in our initiatives. So we continue on with that as we go into 2025 and beyond.
Operator: The next question comes from the line of Jason Celino with KeyBanc Capital Markets. You may proceed.
Jason Celino: Great. Thanks. Craig, it's been an absolute pleasure. Hope retirement with the grandkids and the wheat farming goes well. I -- my first question on the sales offices. Can you just remind us when the last time you opened sales offices? I think it's been a few years. And I think you typically only open them when you find the leadership bench to be ready, but certainly a good sign maybe the internal macro, your views influence the decision to expand at all or is it just typical planning done? Thanks.
Craig Boelte: No, I mean, it's probably been a couple of years, I would say, since we opened our last office, I want to say James is looking it up. But I want to say it may have been 1st of 2023 or end of 2022.
James Samford: Yes.
Craig Boelte: But for us, that's internal. I mean, we only have 5% of the market right now as a company. So it's -- the demand is there. You just -- you want to make sure that you have 100% success every time you open an office, which we have. And that's really dependent upon the manager that you put in there. And then, we've obviously got to backfill that manager with the rep that's ready to be manager. And so, we do those things when it makes sense to us and we have the bench strength to do it. I would say we were better at opening up the offices this year than what we had been in the past, meaning we opened up the office and already had reps ready to go in them and already trained and identified. So I would say that these offices, I would expect to have more success earlier maybe than what we've had in the past. A lot of that's due to the way we've made changes to our training. And I wouldn't necessarily say we changed our go-to-market, I would just say we changed the way we are prepared to go at it. And so -- and that's been very successful. You have a very strong successful sales and marketing program that's coupled with the strongest product out there in the industry with good messaging and we're having a lot of success there.
Jason Celino: Okay. And then my -- just my quick follow-up. I don't know if this wasn't part of Steve's last question, but I guess, what did you see in terms of workforce levels in Q4, just one of your competitors mentioned some weakness, but, obviously, you had a strong quarter. And then I guess what are you baking in, in terms of workforce expectations for the 2025 guide? Thanks.
Craig Boelte: Just stability, I mean, I can't say we saw anything unique in Q4, and we're not -- we don't have anything forecasted for anything unique going into 2025 as far as macro employment changes.
Operator: The next question is from the line of Jared Levine with TD Cowen. You may proceed.
Jared Levine: Thank you. Can you discuss your thoughts on additional sales offices over the rest of the year? Is that contemplated in the guide currently?
Chad Richison: I mean, we don't disclose -- any offices we would plan to open this year would be already in our guidance, but we haven't disclosed what our plans would be as we move through the year to open up additional offices.
Jared Levine: Got it. And then for my follow-up here, can you disclose what the 4Q revenue benefit was from that pull-forward of that extra payroll processing day from 1Q?
Chad Richison: There are always calendar issues within a year or quarter. And if you're able to look at it on a weekly basis, or even longer normalized basis, you're going to see the strength that we had in the back half of 2024 continues into 2025 and actually accelerates as we move throughout the year.
Jared Levine: Got it. Thank you.
Operator: The next question is from the line of Bhavin Shah with Deutsche Bank. You may proceed.
Bhavin Shah: Great. Thanks for taking my question. Bob, appreciate kind of change in guidance philosophy, but kind of taking your commentary on the full year for recurring revenue with 1Q the low point and then double-digit thereafter. I get to like 6%-ish recurring revenue growth for 1Q. Am I in the right ballpark there? And kind of if so, what are the factors impacting 1Q? Is it just a calendar timing issue, or is there anything else? Thanks so much.
Bob Foster: Yes. Thanks for the question. Yes, we're not -- we don't comment on the quarter since we've changed our guidance. There are a couple of things that we'll talk about shape the quarter. The year-end forms filings don't grow as fast as our core business and there's a little interest headwind because we were up 30% last year in interest and will be down 11%, or so percent in the first quarter.
Bhavin Shah: That's helpful there. And then just kind of following up on the EBITDA guide for 2025, just given what you're seeing on the float side, it's very healthy. Like where are you seeing the efficiencies? Is it across the board? Are there certain areas where you're kind of being able to leverage AI, or anything else to really provide a lot more productivity within your sales force?
Chad Richison: Well, first, I appreciate you appreciating adjusted EBITDA. When you start a company with 13 credit cards and an SBA loan, profit kind of matters, and being efficient and actually having high-quality revenue that produces income. Those are pretty important. So we focused on that. And we're getting a lot of benefit through automation. Obviously, we're getting benefit through our sales department going out and selling good deals, fair deals. And then we're also having success through automation on the back end. And that's something that's been -- when I look at our company, I mean, the only thing I'm really trying to fix on it right now is the valuation. I mean it's a -- it's difficult. We're seeing somebody that companies that started two years before us are closest comps comparables, I would say. And as I do my calculation into what our growth and adjusted EBITDA is into next year. And I look at theirs, it will take them over a decade to catch us in revenue, 12 years to be exact, and almost three decades to catch us in adjusted EBITDA. So I'm glad that people do appreciate high-quality revenue. We've grown our business organically and we do have a focus on full automation of our system. And as we move into the future, I do believe that's going to put us in the area of being the highest-margin company in our industry. I think we're second now with our current guide. And I also expect that our growth will continue to be strong because again, we've got the best sales force out there. We have the best product and we have got consistent retention with our client base. So, I'm excited about it. Thanks for the question.
Operator: The next question comes from the line of Daniel Jester with BMO Capital Markets. You may proceed.
Daniel Jester: Great. Thanks for taking my question. I know you don't comment too much on the product roadmap, but philosophically we've been talking about Beti for a few years. I think GONE has been -- you announced that in late 2023. So as I think about 2025, does your guidance or does the playbook assume that you're going to be launching new products, or maybe just any sort of guidance in terms of thinking about the roadmap and the direction on the product side would be helpful? Thank you.
Chad Richison: Well, I will tell you that there's not a moment that I'm awake, and probably half the times I'm asleep that I'm not thinking about our product and how can we make it better and how can we enhance it. And so I took over the product back again in November of last year. I've worked very closely with that group. We're doing very well over there. We've got a lot of initiatives in-flight right now all-around automation of our product. Again, I think that anytime that you can automate human interaction safely, you want to be able to do that. You can't do that everywhere yet, but I do think that there's all those opportunities. And so we've been focused on that. I believe that we've led that charge more than anybody else. And I think you'll continue to see that momentum continue into this year, and absolutely, there will be product announcements in 2025.
Daniel Jester: Great. I appreciate that. And sorry if I missed this, but on the $110 million of interest income this year, did you share what your expectations were with regards to interest rates or average daily balance to get that number? Thank you.
Craig Boelte: No, I would say on the -- I mean on the interest rates, I mean, we can look at the Fed funds rate and so we're looking at something in that range. And then we baked in a couple of potential rate cuts in the middle of the year and then one towards the end of the year for 2025.
Operator: The next question comes from the line of Michael Funk with Bank of America. You may proceed.
Michael Funk: Yes, thank you for the questions tonight. First one, competitive environment. I'd love to get your thoughts on the Paychex's acquisition of Paycor and what that means for the industry and just kind of more broadly to the overall competitive environment. Any change in your view?
Chad Richison: No, I would say no changes in our view to competitive environment. It's always been a competitive field in our industry. I think when you have a lot of competition, the client wins. I think we're all trying to differentiate and I believe that our plan is very strong in that. But no, you've had different times companies consolidate and combine together. And I mean, I'll let them talk for themselves on that.
Michael Funk: Okay. And then I think earlier you mentioned that you think about product every minute being awake, half time being asleep. How do you think about the longer-term evolution of pricing in the industry as automation becomes more part of the product, AI becomes more a part of the product. How do you see pricing evolving over time?
Chad Richison: Well, pricing has evolved from value received from a client. You don't really just set a price, you -- how much value is something truly creating for someone and then you hope to be able to share in that as time goes forward. So as time goes on. So I would say for us, we look at that, how can we create value for a client, how can we help them? What in their business can we automate fully so that it removes their efforts, exposure, and labor cost in many cases in order to get that same result. And so that's really what we focus on. And absolutely, our product roadmap does include things that drive additional value in very large ways. I will say this, clients who utilize our product correctly today realize a lot of that full value. And so it would just be an extension on top of that.
Operator: The next question comes from the line of Joshua Reilly with Needham. You may proceed.
Joshua Reilly: Yes. Thanks for taking my questions. Did we get some updated commentary? Well, I guess some maybe just initial commentary on how client retention trended here in January and February relative to your expectations exiting the year. And any thoughts around the 90% revenue retention and the puts and takes investors should be considering for that figure here in 2025, given that it seems like you've kind of bled off some more of those smaller lower-value customers from the metric and how that's calculated?
Chad Richison: Yes. I mean, I'll remind again that retention, we report retention once a year. We did report it this year and it was 90% consistent with the prior year. I also believe that as more and more businesses receive the benefit of automation and as we head toward full automation that we would expect to be able to do better in retention on a go-forward. We haven't guided to a retention number, but we're very pleased with how we finish the year and we see strong trends continuing so far this year. As I mentioned, January even from a sales side was our largest book sales month by far, and not any of those businesses have started yet. So we're really excited about what the rest of the year looks like for us.
Joshua Reilly: Got it. That's super helpful. And then if you look at the EBITDA guidance of 41% margin, how much -- how do we think about how much of the R&D being expensed versus capitalized in 2025? Is there an impact there on the margin? And should we kind of think about the 11.5% non-GAAP as a percent of revenue for R&D consistent again in 2025? Thanks, guys.
Chad Richison: Yes. I mean, we didn't really bake anything different than what we saw this year in terms of the capitalization rate on R&D. As a reminder, it's really the projects we're working on as to whether it's capitalized their expense, but really no change from 2024 as it relates to the rate.
Operator: Next question comes from the line of Jake Roberge with William Blair. You may proceed.
Jake Roberge: Yes, thanks for taking the questions. You've referenced that really strong January a few times. Curious what drove that. Is that all kind of internal execution and just sales teams being a little bit more focused here after a noisy few years? Or are you also kind of starting to see HR budgets open up kind of post-election?
Chad Richison: I mean, I would say that's internal to Paycom as far as what happened in the first quarter. I've been talking about increased sales. I've been talking about the strength of our sales group. We're stronger in January. We're stronger in February than we were anytime last year. And we had record-breaking months last year too. And now, we're at a point where we've even opened up three more offices. So really, I would just say that's the preparation and what we did last year to get prepared as we move through this year and then having success. Success kind of breeds more success, and that's really what's happening for us right now. And that's my [Multiple Speakers] Sorry, go ahead.
Jake Roberge: Sorry, you can keep going.
Chad Richison: No, I was just saying that was made possible due to our product. They're doing a great job within the product and clients are valued.
Jake Roberge: Helpful. And then I know one of the priorities in 2024 was just getting a lot of the product that you already sold live rather than just sitting on the shelf. Curious how that kind of trended in Q4. And then will there be any new priorities for the CRR team moving forward?
Chad Richison: Yes. The CRR priorities are the same as all of our company's priorities, and that's focused on client satisfaction, everyone at the company regardless of your job. That's what we're here for, that's what we're doing. And but CRRs have definitely helped with that. We enabled CRRs continue to sell clients products that make sense for them and expand their ROI case so that they can get full value of the software. And they're continuing to do that now.
Operator: The next question is from the line of Siti Panigrahi with Mizuho. You may proceed.
Unidentified Analyst: Hey, this is Phill on for Siti. I just wanted to ask, are there any updates to your strategy on the international front? I know you guys are live in four countries, but are there plans to add more countries over the next couple of years?
Chad Richison: We continue to build out our international strategy. We also have a global HCM product that all clients internationally use and then we have built out four other countries. We continue to work with clients as we move into other countries and identify which are the ones to move into, as well as you know, we've developed certain things within our product that allows us to connect to other partners to help fulfill certain needs.
Unidentified Analyst: Okay. Cool. Thank you.
Operator: The next question is from the line of Zachary Gunn with FT Partners. You may proceed.
Zachary Gunn: Hey, there. Thanks for taking my question. I just wanted to ask on the EBITDA margin. So I think fourth quarter here exiting was 43%, 44%, and the guide for the full year is 41% similar to where it was this year. I'm just trying to understand what the mechanics are that delta between your exit rate this quarter versus what you're expecting for the full year next year.
Chad Richison: Yes. Thanks. We guide to what we can see and we usually start out with a lower EBITDA margin in the beginning of the year as we accelerate through to the rest of the year.
Craig Boelte: Yes. And typically, the first quarter of the year as well as the fourth quarter are going to be the largest EBITDA margins because of the firm's filings in the first quarter and then the unscheduled in the fourth quarter. And as we mentioned, this is one of the highest starting EBITDA guides we've had in the history of the company.
Zachary Gunn: Got it. Thank you.
Operator: This concludes the question-and-answer portion of today's call. I will now turn the call back over to Mr. Chad Richardson for closing remarks.
Chad Richison: Well, I want to thank everyone for joining our call today. I want to congratulate the 2024 Paycom Jim Thorpe Award winner, Jahdae Barron from the University of Texas. This award recognizes the most outstanding defensive back in college football. It also memorializes one of the greatest all-around athletes in history and a fellow Oklahoman, Jim Thorpe. Bob and James will be on the road meeting with investors this quarter, including hosting meetings at the KeyBanc and Morgan and Stanley conferences in San Francisco in March. I'd like to thank all of our employees for their contribution to Paycom's success. Much of our success over the last 20 years was due to the financial stewardship and leadership of Craig Boelte. He helped to build a high-growth and profitable business that many others have tried to emulate. I'm thankful for his contributions and I'm excited for him to get to enjoy working on his farm and playing with his grandkids. Craig's career achievements will forever stand as an example as to what can be achieved with hard working grid. With that, I'm going to hand the call over to Craig to close this out for the last time.
Craig Boelte: Thanks, Chad. First, I'd like to say thank you for asking me to join you in this amazing company over 20 years ago. Together, we accomplished a tremendous amount and working at Paycom has been the most rewarding and fulfilling experience of my career. I will miss walking the halls and collaborating with the talented people who make Paycom so great. I've made lifelong friends during my time here. I am Paycom's biggest fan and as one of its largest shareholders. I am confident I'm leaving the company in very capable hands and I know this company will continue to do great things. With that said, operator, you may end the call.
Operator: Thank you. This concludes today's conference call. You may now disconnect.